Operator: Good day, and thank you for standing by. Welcome to the Fourth Quarter 2025 Frontline Ltd. Earnings Conference Call and Webcast. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be the question and answer session. To ask a question during the session, you need to press star 11 on your telephone keypad. You will then hear an automatic message advising your hand is raised. To withdraw your question, please press star 1 and 1 again. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Mr. Lars Barstad, CEO. Please go ahead.
Lars Barstad: Thank you very much. Dear all, thank you for dialing in to Frontline Ltd.'s quarterly earnings call. In discussions with the market actors in recent weeks, a recurring phrase has been heard, people basically saying, what a time to be alive. Frontline Ltd. has been around through many cycles, but the tanker markets do actually evolve over time. We will argue that we have never been in a cycle like this, where indices and freight derivatives weigh so heavily in the freight pricing mechanism. This fuels almost violent moves as we proceed. For every $200,000 per day fixture done physically, there is an exponential number of contractual obligations that are triggered, giving this market a new dimension and very exciting dynamics. Before I give the word to Inger, I will run through the TCE numbers. So let us move to Slide three in the deck. In the fourth quarter of 2025, Frontline Ltd. achieved $7,074,200 per day on our VLCC fleet, $53,800 per day on our Suezmax fleet, and $33,500 per day on our LR2/Aframax fleet. So far in 2026, 92% of our VLCC days are booked at $107,100 per day, 83% of our Suezmax days are booked at $76,700 per day, and 67% of our LR2/Aframax days are booked at $62,400 per day. Again, all numbers in this table are on a load-to-discharge basis, with the implications of ballast days at the end of the quarter this incurs. However, for the VLCCs, there is little mystery left with such a high percentage in the book. I will now let Inger take you through the financial results.
Inger Klemp: Thanks, Lars. Ladies and gentlemen, good morning and good afternoon. Let us then turn to Slide four. We report profit of $228,000,000, or $1.20 per share, and adjusted profit of $30,000,000, or $1.03 per share, in 2025. The adjusted profit in this quarter increased by $188,000,000 compared with the previous quarter, and that was primarily due to an increase in our TCE earnings from $248,000,000 in the previous quarter to $424,500,000 in this quarter, and that again was a consequence of higher TCE rates. We also had some decrease in finance and ship operating expenses, and also some calculations in other income and expenses. Ship operating expenses, in particular, decreased $7,100,000 from previous quarter, mainly due to an increase in supplier rebates of $7,100,000. Let us then look at the balance sheet on Slide five. The balance sheet movements this quarter were mainly related to ordinary items and also prepayment of debt under revolving reducing credit facilities. Frontline Ltd. has a solid balance sheet and strong liquidity of $7.00 $5,000,000 in cash and cash equivalents, and that includes undrawn amounts of revolver capacity, marketable securities, and also minimum cash requirements as of 12/31/2025. We have no meaningful debt maturities until 2030. In January 2026, we sold eight of our oldest first-generation eco VLCCs for a total sales price of 831,500,000.0, and after commissions and repayment of existing debt on the vessels, the transaction is expected to generate net cash proceeds of approximately $477,000,000. In parallel, we acquired nine latest-generation scrubber-fitted eco VLCC newbuildings from an affiliate of Herman for an aggregate purchase price of 1,000,000,224 billion dollars. We will pay approximately 25% of the purchase price in 2026 and 75% is due upon delivery of each vessel. The company intends to finance this acquisition with cash and then 60% long-term debt financing. Let us then look at Slide six. That is the fleet composition and cash breakeven rates and OpEx. Our fleet consists of 41 VLCCs, 21 Suezmax tankers, and 18 LR2 tankers, has an average age of 7.5 years, and consists of 100% eco vessels, whereof 57% are scrubber fitted. We estimate average cash breakeven rates for the next twelve months of approximately $25,000 per day for VLCCs, $23,700 per day for Suezmax tankers, and $23,800 per day for LR2 tankers. That gives a fleet average estimate of about $24,300 per day. This number includes drydock cost for five VLCCs, two Suezmax tankers, and eight LR2 tankers, and the fleet average estimate excluding charter cost is about $23,300 per day, or $1,000 less. We recorded OpEx, including drydock, in the fourth quarter of $9,600 per day for VLCCs, $7,600 per day for Suezmax tankers, and $12,400 per day for LR2 tankers. This number includes start-up of three VLCCs and three LR2 tankers. The Q4 2025 fleet average OpEx excluding drydock was $7,600 per day. Lastly, let us look at Slide seven, cash generation. Following that, we entered into one-year time charter agreements, and we also had fleet renewal in the first quarter. The spot days for the next twelve months is about 24,400 days. Frontline Ltd. has substantial cash generation potential with 27,700 earnings days annually. As you can see from this slide, the cash generation potential basis currently, TCE, rates and TCE as of February 27, is $2,800,000,000, or $12.51 per share, which provides a cash flow yield of 34% basis to the current share price. And a 30% increase from this current spot market will increase the cash generation potential to $3,700,000,000, or $16.84 per share. Likewise, a 30% decrease from current spot market will decrease the cash generation potential to $1,800,000,000, or $8.19 per share. With this, I leave the word to Lars again.
Lars Barstad: Thank you very much, Inger. So let us move to Slide eight and look at the current market highlights. Oil demand seems to be growing healthily outright but with key focus on non-sanctioned molecules, creating substantial year-on-year changes in trade, as shown on the illustration or the graph on the right-hand side of the slide. We have a very politically laden market environment. We talk about U.S.-India trade, U.S.-Iran-Israel discussions, and U.S.-EU-Ukraine-Russia talks. With an earlier liberation and further pressure on Russia in addition to Iran tension creates strong tailwinds for us operating in the compliance market of oil transportation. We are also in an environment where weakening U.S. dollar is supportive of global oil demand, and the inflationary economic environment is supportive of the commodities in general. Asset prices for ships are appreciating firmly. Order books are building materially in 2029 and onwards, but with the twenty-year age cap observed, future supply remains manageable. Let us move to Slide nine and look at the flow. Global crude oil in transit continues to be at elevated levels. On the graph on the right, we have added the TD3C Baltic index that some refer to as the Dow Jones of the freight market, and there you can see how sensitive this index seemingly is to the oil trading on the seven seas. In this picture, we see sanctioned crudes moving slower, particularly for the Russian barrels, or being stored, particularly for the Iranian barrels. This creates an increased dark fleet utilization, and the dark fleet then needs new capacity or attracts new capacity into the dark vessel pool. These vessels are pulled out of the compliant fleet. OPEC Middle East exports are growing firmly, and that also adds to this increased demand for compliant and approved tonnage. But despite the oil, water, and freight levels we are facing right now, we see very few charters, in fact none, breaking this twenty-year age cap. This supports the case that we have been arguing for years. Strong import growth to Far East and India contradicts the energy transition narrative and especially for China. I think people are starting to get familiarized with the energy addition, not transition, term. Long-haul ARBs are challenged, and just to explain what an ARB is, that is basically the price difference between one continent to another in respect of oil, which basically, if it is at a wide enough point, a trader or an oil major can make a profit moving the oil over long distances and selling it in a different market. Freight is, of course, the key component in this, and by example, if the freight for a VLCC from U.S. Gulf to China is $18,000,000, the charterer is actually exposed to $9 per barrel freight, and basically, this spread between the two oil markets needs to accommodate that. This has put some pressure on these ARBs, and we have seen fairly little volume moving from the U.S. to the Far East. But, again, if oil needs to move, or when it needs to move, these differentials will just have to price to accommodate this spread. The incremental marginal barrel is now compliant. We have also discussed this in previous calls, that we do not see any kind of fantastic production growth in Iran. We do not see any kind of fantastic production growth coming out of Russia. But we do see compliant oil production and exports growing. The big factor is, of course, OPEC reversing cuts, but then you have countries like Brazil and Guyana performing extremely well, and these are the new molecules coming to market, and they need compliant ships. Let us move to Slide nine and look a little bit at the fleet development. The order book continues to grow. We are basically in the market where decades-high prices for modern tonnage, if tonnage is even there for sale that is on the water, meaning that the vessel can trade straight away, are so high that it pushes actors into the yards. Other asset classes such as LNG and containers continue to pop yards' order books, but we do see tanker ordering accelerating for 2029, especially in China. As the chart on the top right-hand side indicates, it shows basically the efficiency loss of a vessel as it ages, and the curve starts to dip around 10 years of age and then further deteriorates into almost ignorable when it gets to 20 years. With this in mind, as we move forward and move into 2029, we are going to meet the generations of ships that were delivered around 2010 and onwards, and this is a large population of ships that then again will be 20 years of age and exposed to this deteriorating efficiency curve. With that in mind, although ordering is accelerating and we have a high amount of ships expected to come in 2029, and it is basically being added for every day, it is not alarming with this in mind considering the age of the fleet and the fleet profile. We see it as we have two to three years of a very good runway before the supply could become a worry. We also expect going forward that yard capacity will grow, and especially in China. It is not necessarily new yards, but it is yards that have not built tankers or at least not been specialized in tankers, but they are now adding berths in order to cater for this industry. We believe there is another trend that will evolve as we proceed here, considering or assuming this rate environment is sustainable, that Korea and Japan will increase their focus on building tankers in general, and VLCCs in particular, as the margins on these contracts start to compete with what they can achieve for containers or LNGC. Let us move into Slide 11, where we have the familiar tables. I am not going to spend too much time on this slide, only to say that in our methodology, and we try to be consistent, we use data that is based on when an IMO number is registered. This means that these statistics will always be a little bit slow to react. The general assumption in the market is that the order book-to-ratio for VLCCs is probably already at 20%, but this will become more and more evident as these contracts are being registered and the IMO numbers are being created. With that, I think we move on to the summary. I have changed the headline here. So we also see take the center stage, Suezmax and Aframax to follow, question mark. It is actually not much of a question mark because the Suezmaxes are already on the way, and the Aframaxes are boiling. We are in a fundamentally tight market condition that yields extreme volatility. Oil demand and supply are developing positively but especially for compliant molecules. The global tanker fleet age profile and efficiency loss tighten the supply-demand balances. Asset prices are on the move, and both spot and period markets support the investment decisions. The volatile political landscape fuels energy insecurity, conditions where tankers tend to thrive, and Frontline Ltd.'s efficient business models tend to produce material shareholder returns as we proceed. Thank you very much. We will now open for questions.
Operator: Thank you so much. Dear participants, as a reminder, if you wish to ask a question, please press 11 on your telephone keypad and wait for your name to be announced. We will now open for questions. We are going to take our first question. It comes from the line of Jonathan Chappell from Evercore ISI. Your line is open. Please ask your question.
Jonathan Chappell: Good afternoon. Thanks very much. Lars, so many things to ask you, but I am not going to be greedy. I will keep it to two. So the first thing is, obviously, we are in a parabolic situation right now. We have seen this once or twice before, but as you said, the underlying factors seem to be very different this time. But rates do not go to the moon. There is a certain point where there is a ceiling. So what is the catalyst to provide a plateau and maybe a little bit of an easing from here? Is that a geopolitical event? Is it a seasonal event? Is it a Sinacor event? What takes a little bit of the frost out of the market, which would still be very fantastic rates but maybe lower than where they are moving this week?
Lars Barstad: It is an extremely good question. I think the answer is kind of seasonality. There is also normal seasonality. We are actually not unused to having fairly poised markets during this time of the year, many times due to U.S. refineries going into turnaround allowing for more barrels to be exported, and we are kind of actually going into that phase now. So there will be potentially a few more months where we actually can sustain these rates, depending on how the flows work. But then there is going to be a summer low, and it is almost inevitable. But whether it is a summer low that moves from $200,000 per day to $100,000 per day, that is almost impossible to gauge. Also, I think one needs to know that there is one major importer in this market, being China, and they have built an enormous amount of inventory over the years. They could, for any reason, choose to basically turn down the speed a little bit for a period of time, and this will also create volatility. I expect this to occur, but it is extremely difficult to say when something like that might happen.
Jonathan Chappell: Definitely. Thanks for that. The other one is also maybe a bit difficult, but it is just something I have been wondering about. Nobody has done what your Korean friends are doing right now for, like, seemingly 50 years, and that includes your shareholder who many people probably would have anticipated would have been the one to try this. Why has not anyone tried to corner the VLCC market in the past and where could it go spectacularly wrong for them? What are the risks, I guess? And the final thing is how do you position Frontline Ltd. so that you are not affected if it does go spectacularly wrong for this player?
Lars Barstad: It is a good question, and you are right, it has not really been done in a material manner in the tanker market for at least longer than I can remember. But there is a parallel story from the mid-2000s involving a certain person from Taiwan, but this was in the dry bulk space. Key to his success in dry, and the potential key to the success that the Korean actor might have, is actually that you go in a market that is already fundamentally tight, and then you do not need much to weigh or to slow the supply side of tanker capacity before you get these violent moves. Also, as most people are familiar with, if you look at how freight prices just empirically, the minute you go from 90% utilization to 95%, the moves are exponential. That would be my explanation for why this is possible. I am not going to comment on why Mr. Fredriksen has not looked at this, but the thing is, we are a stock-listed public company. This is, of course, easier to do if you are a private entrepreneur in this market and, of course, willing to risk a substantial amount of money in such a game. Where can it go wrong? In these situations, and we have seen them before, potentially to a smaller scale, it ends up being a game of chicken, who can hold the longest. This is what makes me extremely excited over the months to come and the summer and so forth because we will see some very interesting dynamics come to play, but one thing I am 100% certain of is that there will be volatility.
Jonathan Chappell: That is all very helpful. Thank you, Lars.
Operator: Thank you. We are going to take our next question. The next question comes from the line of Sherif Elmaghrabi from BTIG. Your line is open. Please ask your question.
Sherif Elmaghrabi: It seems like charterers are seeing what you are seeing and willing to take more ships on term. Would you say that is the case and the TC market is more active, or is it just that rates have risen to a level that shipowners are more comfortable with? Oh, that is very interesting. Something else that I thought was interesting was your comments specifically about new tanker yard capacity coming online, and so I apologize if you have mentioned this and I missed it. Do you have a sense of what the turnaround time on these projects might be and when first ships might hit the water?
Lars Barstad: I think, as I touched upon in the introduction today, this market has evolved quite a lot in the last 20–25 years. If you, by example, look at the Middle East market for VLCC transport from the Middle East to Asia, this market used to have a lot of physical liquidity. What happened over the years is that more and more actors are using the index itself to price the freight, basically doing floating contracts that price off the Baltic index quote, to the point where very little liquidity is actually transacted in the market. So price visibility has been quite difficult sometimes. To do a parallel, for every physical barrel of Brent oil that is produced, it tends to trade tenfold on paper, and we have seen a little bit of the same tendency or trend in freight. This becomes a problem if everybody is pricing their freight off an index that runs out of control, and then suddenly you need to hedge and you need to access the paper market, or you need to buy back hedges for the guys who have taken ships on time charter and basically hedged parts of the curve in that exposure and so forth, and you end up with a very vibrant FFA market, which every FFA broker today would testify to. You get these ebb and flows out on the curve, from panic to some sort of quiet until the panic kicks in again. Over the last couple of weeks, you see the index is just relentlessly printing what is physically being done, but it is not like 10 cargoes are fixed a day; it is two to three cargoes maybe fixed a day, but the amount of pricing exposure around that quote is enormous, and this triggers this almost self-propelled move going forward. I think it is important to note, this is not manipulation, but the market is fundamentally extremely tight. You could argue that maybe freight rates are moving ahead basically due to this tightness as the panic ebbs and flows. As for new tanker yard capacity coming online, it is 2029. A yard that is now marketing a new berth that they are going to build—it is not like a greenfield because the yard exists—but they are just introducing a new berth that can accommodate the VLCC build. That is 2029, so three years.
Sherif Elmaghrabi: Got it. Lars, thank you for your time. Thank you.
Operator: Thank you so much. Dear participants, now we are going to take our next question. It comes from the line of Devon Sangoy from Tetch Investments. Your line is open. Please ask your question.
Devon Sangoy: Hi, Lars. I just want to ask you, what will be your strategy on spot versus time charter as you go through these interesting times? That is my first question. The second is regarding the dark fleet which we have been struggling with, and finally it is coming with sanctions and whatever was needed to be done has been done now. In this, though the probability is 50%, if Russian crude oil and if the war stops and the sanctions are lifted, it is also going to get into a compliant fleet. Do you foresee in such a scenario what will happen to the market? And the last problem is that if this sustains and, obviously, and you do the best to make out of the cash, it becomes a cash pile. Obviously, you are paying out a large part of it. But do you think at what point in time you will start deleveraging the balance sheet, or will you stay levered?
Lars Barstad: It is a good question. As we said before, our proposition to our investors is to give you spot returns, so basically you do not have to buy a ship; you can just buy Frontline Ltd. At times we will choose to use elevated markets to try and secure revenues. We do not have a policy or anything, but we have a golden rule of one-third, so in theory, our board would be comfortable under certain conditions that we get up to time charter coverage of 30%. As you have seen from the stuff we did, we reported the seven one-year time charters. In the report today, we also reported another one that was done a week later. We are in this modus operandi to try and secure some longer-term income. But we are so constructive about this market that we are not really engaging yet, at least in the longer term, maybe because we actually do believe that there is still some to go for the longer-term contract, but they are also appreciating quickly. I am not going to exclude anything, but you will not find Frontline Ltd. in a situation where we have put 50% of our exposure on time charter because that is not really what our investors are after, we believe. If you asked me this in September 2022 regarding sanctions and the dark fleet, I would have said it would be an immediate bearish proposition, but so much time has passed. If the Russian barrel becomes a compliant barrel, you will probably get half of the capacity back into the compliant fold on the shipping side, but the other half will actually be disqualified basically due to age, and this is the same for servicing the Iranian oil. There are a lot of ships, yes, but these are ships that were supposed to be recycled years ago basically due to age, so very few of them are actually going to come back into compliant trade. Also, the scrutiny in the compliant market on a ship's history is extremely tough, so it is not very easy to whitewash a tanker that has been involved in illicit trades. One point I need to make: we have actually seen this before when sanctions were eased towards Iran in 2016. They have a national tanker company, NITC, and any part of a sanctions-lifting solution will also involve nationally controlled shipping companies. For Russia, that would be Sovcomflot and potentially others. But again, just analyzing those fleets, age is the problem. So, actually, we would welcome these molecules into the compliant fold. As for leverage, our intention is to stay levered because for every share you buy in Frontline Ltd., you get a 1.4 ship exposure equivalent basically due to our leverage. We still believe that is the model. Obviously, I cannot rule anything out, but we have no inclination to delever apart from what actually happens when you pay down debt. The point of cash is actually going to you.
Devon Sangoy: Okay. Congratulations, and all the best for the future.
Lars Barstad: Thanks very much.
Operator: Thank you. Dear participants, just a quick reminder, if you would like to ask a question. Dear speakers, there are no further questions for today. I would now like to hand the conference over to your speaker, Lars Barstad, for any closing remarks.
Lars Barstad: Thank you very much for listening in, and I hope you are as excited as I am about what the future is going to bring. I think it is the tanker market's turn now, so let us enjoy the ride. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.